Operator: Good morning. Welcome to USA Compression Partners, LP Fourth Quarter 2025 Earnings Conference Call. During today's call, all parties will be in a listen-only mode. At the conclusion of management's prepared remarks, the call will be opened for Q&A. At this time, I would like to remind everyone in order to ask a question, please press star then the number one on your telephone keypad. This conference is being recorded today, 02/17/2026. I now would like to turn the call over to Clint Green, President and Chief Executive Officer.
Clint Green: Good morning, everyone, and thank you for joining us. With me today is Christopher M. Paulsen, Senior Vice President and Chief Financial Officer, Christopher Wauson, Senior Vice President and Chief Operating Officer, and other members of our leadership team. This morning, we released our operational and financial results for the year and quarter ending 12/31/2025. Today's call will contain forward-looking statements based on our current beliefs and certain non-GAAP measures. Please refer to our earnings release and SEC filings for reconciliations, definitions of non-GAAP measures, and related risk factors. Please note that the historical information presented excludes the results of the JW Power acquisition, which closed on January 12. With that, I would like to congratulate the team for closing the JW transaction. With this transaction, we are leaning into the USA Compression Partners, LP name, with broader reach all across this great country. The transaction makes us a clear choice for operators who want a provider with a reputation of high-quality, reliable service in every major oil and gas basin in the U.S. and across all horsepower classes. I want to highlight the tremendous year we had across our operations, commercial, and finance organization. On the safety front, we recorded a TRIR of 0.39, which is approximately half of the industry average. We delivered full-year adjusted EBITDA of $613,800,000 and DCF of $385,700,000; both are records for the company. We maintained high average utilization in excess of 94% throughout the year and ended the year at 94.5%. Finally, we refinanced our ABL and one of our senior notes, significantly reducing our weighted average borrowing cost and improving strategic flexibility. These accomplishments occurred as the company embraced a new leadership team, a change in headquarters, a new shared services model, and a new ERP platform. The resilience and grit showcased across our organization in 2025 gave us confidence to pursue and now integrate the JW acquisition in 2026. Last year, the energy macro environment stabilized following early tariff discussions, but the development pace slowed in the Permian as rigs continued to reduce throughout the year in response to lower oil prices. Of note, while oil production flattened in the last half of the year, natural gas continued to move upward, ending approximately 9% higher year-over-year. We continue to be bullish on the Permian longer term. With the acquisition of JW, we maintain a large presence and have increased our active horsepower in the Permian to around 1,700,000. We have also increased our horsepower in oil and liquids-rich basins, as well as major gas basins like the Marcellus, Utica, and Haynesville, which returned to growth in 2025. This growth was tied to increased local demand, additional infrastructure debottlenecking, and a higher average natural gas price of $3.52 per MMBtu. This is a 56% increase from the prior year. We are encouraged by these fundamentals and believe the acquisition of JW strengthens our leadership within these natural gas basins. The broader compression industry continues to forge ahead with strong margins and a disciplined approach to new compression capital, and USA Compression Partners, LP is no different. Of note, lead times for new equipment have increased to over two years, which presents a new set of opportunities and challenges that our team continues to work through. In 2026, we have budgeted approximately 105,000 new horsepower, representing a 2% increase in active horsepower, with half of that new horsepower under contract. We also have new units contracted for 2027 and are in active discussions to procure additional horsepower in 2027. With that, I will turn the call over to Christopher Wauson, our Chief Operating Officer.
Christopher Wauson: Thanks, Clint. Since the close of the transaction on January 12, we have begun planning to optimize route management, inventory, contracts, and operational structures to begin to realize synergies as early as this year. As we have previously noted, we move forward with the go-live of a new ERP system in 2026 for the legacy USA Compression Partners, LP assets and now plan to integrate the JW assets during 2026. We will have modest one-time costs associated with the transaction in 2026 but expect to lay the groundwork for substantial synergy capture by 2027. Our assessment is still ongoing, but at this time, we anticipate approximately $10,000,000 to $20,000,000 in annual run-rate synergies that will be achieved by 2027. We expect these synergies to create improvements in both operating margins and G&A, with the additional potential for commercial synergies as we better serve our combined customer base. As we discussed in our announcement, we are excited about increasing the extent and depth of our asset offering and customer base. Customer retention and review of existing contracts are top of mind, and we have already begun moving contracts under USA Compression Partners, LP MSAs and will work to extend average contract duration throughout this year. We hope our customers will realize the best of both organizations. I am personally excited to see the strength of our organization grow, especially across the Mid-Continent, the Rockies, and Northeast, with the addition of the JW assets. We will focus on continuing to be the operator of choice across these basins and others, providing customers commercial and operational consistency across the U.S. No other contract compression company in the market can support its customers’ diverse horsepower and geographic needs like USA Compression Partners, LP can today. Finally, with the acquisition of JW, we acquired approximately 200,000 idle horsepower that will undergo significant review over the course of the next year. As we indicated in December's JW acquisition call, we believe approximately 50,000 horsepower is readily deployable with limited capital spend. As it relates to the remainder, we will analyze best path, including potential monetization of a portion of the horsepower. We also acquired a manufacturing business that provides strong optionality, third-party sales, and internal reconfigurations. I will now turn it over to Christopher M. Paulsen to discuss our 2025 financial results in detail and our 2026 guidance.
Christopher M. Paulsen: Thanks, Chris. In Q4, we increased pricing to an all-time high, averaging $21.69 per horsepower, a 1% increase in sequential quarters and a 4% increase compared to the year-ago period. Average active horsepower increased approximately one relative to Q3 to 3,579,000. Our fourth quarter adjusted gross margins came in at 66.8%, right on historical trend. Regarding the consolidated financial results, our fourth quarter 2025 net income was $27,800,000, operating income was $76,600,000, net cash provided by operating activities was $139,500,000, and cash interest expense, net, was $43,400,000. Our leverage ratio at the end of the fourth quarter was 4.0x. Turning to operational results. Our total fleet at the end of the quarter was approximately 3,900,000 horsepower, adding approximately 21,000 horsepower as compared to the prior quarter. Our average utilization for the fourth quarter was 94.5%, a slight increase compared to the prior quarter. Fourth quarter 2025 expansion capital expenditures were $40,000,000 and our maintenance capital expenditures were $7,800,000. Expansion capital spending in Q4 primarily consisted of new units. Turning to 2025 full-year results, we ended the year with adjusted EBITDA of $613,800,000. We also ended the year with distributable cash flow of $385,700,000, above the recently increased guidance, in part due to the final preferred unit conversion in December. Maintenance capital ended at $39,400,000, and expansion was $117,600,000, both towards the lower end of previously provided guidance. Looking ahead and with the contribution full year of JW, we are forecasting adjusted EBITDA of $770,000,000 to $800,000,000 and distributable cash flow of $480,000,000 to $510,000,000. Maintenance capital range is forecasted to be $60,000,000 to $70,000,000, allowing for consistent preventative maintenance intervals across our combined fleet. Expansion capital range is $230,000,000 to $250,000,000, which includes just over 100,000 new horsepower, or over 2% of our active fleet being added, and panel upgrades for improved telemetry practices. The expansion capital range also includes approximately $40,000,000 of other capital, including vehicles, tools, investments in technology, and other items. This expanded growth capital budget relative to prior years will enable us to better respond to the needs of our broader customer base and enable us to get new horsepower in both the Permian and the Northeast. The net result of our budget should enable us to improve upon our debt metrics, with our near-term targets at 3.75x debt to EBITDA, a quarter-turn improvement over the next twelve. We remain committed to managing debt levels and will remain open to transactions that further delever the balance sheet and are accretive to unitholders. We also continue to evaluate our capital structure and its fixed versus floating proportion as it relates to DCF and business certainty. Today, at current Fed rates, our borrowing costs are improved by approximately 50 basis points. By utilizing our ABL relative to our most recent notes refinance. We also have approximately a half a billion capacity, not including the $300,000,000 of additional accordion. Overall, I am very pleased with the operational momentum we carry into 2026 with the legacy USA Compression Partners, LP business and the JW Power assets. In the near term, the addition of JW assets will reduce our aggregate gross margins for the contract compression business. Our clear goal is to more closely align those margins with our own over the next two years, contributing to the synergies Christopher Wauson spoke of earlier. And with that, I will turn the call back to Clint for concluding remarks.
Clint Green: Thank you, Chris. I want to thank all of our employees for the advanced planning and early integration efforts that have taken place across the two companies. We are honored to be part of the JW Power legacy and are confident it will be improved going forward given the broader reach and resources of USA Compression Partners, LP. It is our goal to provide the same level of excellence throughout every region in the U.S., something that continues to set us apart. I will now open the call up to questions.
Operator: At this time, I would like to remind everyone in order to ask a question, please press star then the number one on your telephone keypad. We request that you limit yourself to one question and one follow-up. Your first question comes from the line of Douglas Baker Irwin with Citigroup. Your line is open.
Douglas Baker Irwin: Hey, thanks for the question. I just wanted to start with the growth CapEx guidance here. Could you maybe just help dissect a bit how much of that $250,000,000 growth budget is tied to kind of organic base growth versus maybe the backlog from JW Power? And then just curious if this level is kind of the right way to think about run rate moving forward for CapEx, particularly as we kind of think about potential impact of two-year lead times here?
Christopher M. Paulsen: Great question. Appreciate that. So just to break down the growth capital this year a little bit, you know, about $205,000,000 of growth capital is tied in with the typical compression business, both new units, make ready, and reconfigurations. Approximately $150,000,000 of that $205,000,000 is tied to new units. So as we mentioned in the call, approximately 105,000 new units overall. And we have another just less than $40,000,000 in other capital tied to vehicles, IT tools, etcetera. We are really trying to add consistency across our fleet as it relates to the other capital; we think there is a scenario by which that can come in lower, but, hopefully, overall, that kind of breaks down what we call growth in expansion capital.
Douglas Baker Irwin: Got it. That is helpful. And then on the back relates to your other question, and apologies, it relates to your other question in terms of percentage growth going forward, as we mentioned, you know, this year is approximately around 2% growth overall relative to our active horsepower. As it relates to 2027, those long lead times do make for difficult planning. The beauty of our manufacturing entity is that it does allow us to start to dissect some of that a little bit differently than we have in the past. We have kind of been beholden to packagers. Today, we do have manufacturing capacity in 2027. We are trying to load up that relative capacity. We have about 10,000 horsepower already contracted for that capacity. We are looking to utilize probably the remainder of that capacity for our own compression this next year. And certainly, as it relates to smaller horsepower, and when I say smaller, it is still, you know, around 1,500 horsepower or so. The lead times are less. It is really some of those really large 2,500 horsepower plus packages that are the long lead times. So we do have some flexibility as it relates to that. And, frankly, this year, we have even packaged smaller horsepower than 1,000 horsepower. So we will continue to listen to our customers talk about their needs and be responsive as it relates to kind of horsepower for 2027 and decide whether or not that number is kind of 1.5% to 2% range that we have been in over the last several years.
Douglas Baker Irwin: Got it. That is helpful detail. And I just wanted to follow up on some of the comments made in the prepared remarks about just some of the actions you have taken to improve the balance sheet. JW Power is obviously accretive from a leverage perspective as well. Just curious if these actions impact the way you think about the right level of distribution coverage moving forward and whether they might give you some runway to start thinking about potentially growing the distribution from here?
Christopher M. Paulsen: Great question. So, you know, last year was really about, as you noted, kind of making sure that our balance sheet trajectory was set up along the right path. You know, we were able to do that transaction and able to put the cash forward because we did go through the process of a notes refinance beforehand. We went through an ABL restructuring and grew that relative ABL. And as I mentioned, you know, we also have capacity to even expand it further with our accordion feature around $300,000,000. So we are on the right track as it relates to our balance sheet and the relative improvement there. You know, 3.75x, I think, is a worthy goal in the near term. You know, the question is, do we move down further from there to 3.5x? I ultimately would like to be there, but we also need to balance, as you noted, the fact that our distribution coverage has continued to improve. You know, net of the dividends that were, or distribution, excuse me, that were paid in, you know, a week ago, our number on normalized basis is 1.55x. We did pay, you know, the Westerman family some units associated with Q4 that was factored into that 1.36x, and those units were ultimately repaid. So our normalized number is about 1.55x on Q4. We are looking for that number to be in the 1.6x plus range next year, or this coming year, that is. And as that number starts to expand beyond 1.6x and grow beyond there, you know, we need to continue to have conversations with all of our unitholders as to what the right answer is in terms of distribution growth.
Operator: Your next question comes from the line of James Rollyson with Raymond James. Your line is open.
James Rollyson: Just to circle back to the capacity adds of 105,000, it is in the budget for year. Maybe just kind of given this can really sway how things lay out across the quarters, if you could talk about the timing of delivery and when you expect that capacity to actually be in the field. And then maybe a follow-up on equipment cost trends given lengthening lead times.
Clint Green: You know, I think most of what is coming on this year is in the back half of the year. I will start, and then Christopher Wauson will probably add into that. You know, July 4. Chris, do you have anything to add to that?
Christopher Wauson: Yeah. So thanks, Clint. So majority of the horsepower, you know, there is a little bit that trickles in in Q3, but mainly, you know, the bulk of horsepower comes in late Q3 into Q4. So we will see good numbers of growth in the back half of the year.
James Rollyson: Gotcha. And maybe just kind of following up, Clint, on your comments. Seems like every call I hear on compression lately, the lead times getting longer and longer. Wondering if that is showing up. You know, you go back two, three, four years, and obviously, you guys like Cat had really ramped up the cost of equipment, which was translating into higher pricing for everybody on new orders. And then it seems like because we were originally kind of late last year, prices were just more inflationary, like typical annual Cat increase. But I am curious, as lead times continue to stretch out, are you seeing that, or do you expect to see that translate at some point into higher equipment cost again, like a bigger step up?
Clint Green: I do not think that any manufacturer ever misses opportunity to increase prices, but, yeah, you know, the main driver in the lead times is Caterpillar engines, and the data center demand for generation has driven that lead time out. You know, we still have some other options with some other manufacturers out there. They are not as sought after, what have you. I expect we will see some type of increase at some point this year. I have not heard of one yet, but I am sure one will come down later on this year.
Operator: Your next question comes from the line of Gabe Moreen with Mizuho. Your line is open.
Gabe Moreen: Obviously, one of your competitors recently announced a pretty big step out into the distributed power space. Just wondering kind of your latest thinking on potentially evaluating that space, whether it is something you are looking at or reconsider. And then if I can pivot, on the 50% of the new HP for 2026 placed, what are expectations for placing the rest of it and timing?
Clint Green: Yeah. Hey, Gabe. It is Clint. Yeah. Absolutely. You know, we believe the distributed power business and the compression business are a lot alike. You know, we have mechanical equipment that has to run or has a guaranteed run time, several synergies with the type of folks you need to work on it. So we have definitely evaluated several of those over the last eighteen months or twelve months, what have you. We put them into our model. The ones we have looked at have not quite met the requirements that we wanted for whether, you know, it to make our model like we wanted it to be. And we have not jumped out there yet, but we are always evaluating that. It is a business we think that we could drive the same type of margins out of that we do in the compression business.
Christopher Wauson: On the placement of the remaining 2026 new horsepower, we strive for kind of consistent margins, and our new unit growth has primarily been focused on our tier-one customers. So I am pretty confident that the remaining balance of what we have available will get contracted up here in the near future. So we look forward to working through that for our customers.
Operator: Your next question comes from the line of Nate Pendleton with Texas Capital Bank. Your line is open.
Nate Pendleton: Good morning. Congrats on the strong year. Wanted to go back for a moment to the new unit timelines. How do those timelines impact your longer-term horsepower growth strategy, be it organic or inorganic? And could we see the timelines impact contract compression pricing with customers in the near term?
Clint Green: Yeah. Hey. Thanks. It is Clint. You know, with the lead times pushing out for a new package at 120-plus weeks, you know, it gets challenging. Right? It is not going to affect our 2026 growth, but in 2027, you know, we are working to secure that and figure that out. You know, picking up the manufacturing business with JW, that gives us a lot of optionality that Christopher M. Paulsen spoke to earlier. We do have around 10,000 horsepower already contracted in the '27. So we are looking at every angle to work through that and add growth. You know, I want to add that the size of the JW manufacturing business is, you know, it is almost the exact same size as our expected growth over the next couple of years. We are not looking to expand that manufacturing facility or go out and try to sell a huge amount of packages, but we want to be able to fund some of our own growth internally and give us that flexibility that we need to when packages move out to 100 weeks that we can still provide for our customers.
Nate Pendleton: Got it. I appreciate that detail. As my follow-up, in the prepared remarks, Christopher M. Paulsen mentioned expansion CapEx, including the new telemetry being added to units. Can we get any more detail on what that can entail for customers?
Christopher Wauson: Yeah. I will take that. You know, one thing we are looking at is always looking for efficiencies to drive efficiencies. And with that, we have to invest in our units. You know? So panel upgrades, unit upgrades, is huge. So it allows us to have some dashboards to really see what is going on without having employees out there on-site 24/7. So, you know, that gives you a little color as to what that looks like, but it is our eyes and ears, basically, without folks on the ground.
Clint Green: I am going to add to that too. You know, it also gives us the ability to manage how our folks, you know, when they leave to go work on a piece of equipment that is down, maybe it got called out in the middle of the night, they can have the right parts. You know, that is where we are trying to get to with this with some form of AI going forward. And this is the first step in our business to move that direction.
Nate Pendleton: Got it. Appreciate it.
Operator: Again, if you would like to ask a question, please press star then the number one on your telephone keypad. I will turn the call back over to Clint Green, President and Chief Executive Officer, for closing remarks.
Clint Green: Yeah. Just to add a little bit there, you know, I want to explain how happy we are with the JW acquisition, how excited we are to be able to get into all those basins, and then, you know, the excitement that we have for the overall gas industry. And the way that, you know, the demand from data centers and LNG, and, you know, it is real. It is coming online, and we are excited to be in this business at this time and look forward to creating unitholder value as we move forward. Thank you all for joining our call, and good day.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.